Operator: Hello, everyone, and welcome to the Babcock & Wilcox Enterprises First Quarter 2023 Earnings Conference Call. My name is Nadia, and I’ll be coordinating the call today. If you would like to ask a question pad. I will now hand over to your host, Sharyn Brooks to begin. Sharon, please go ahead.
Sharyn Brooks: Thank you, Nadia, and thanks to everyone for joining us on Babcock & Wilcox Enterprises first quarter 2023 earnings conference call. I’m Sharon Brooks, Director of Communications. Joining the call today are Kenny Young, B&W’s Chairman and Chief Executive Officer; and Lou Salamone, Chief Financial Officer, to discuss our first quarter results. During this call, certain statements we make will be forward-looking. These statements are subject to risks and uncertainties, including those set forth in our safe harbor provision for forward-looking statements that can be found at the end of our earnings press release and also in our Form 10-Q that was filed today and our Form 10-K that is on file with the SEC and provide further detail about the risks related to our business. Additionally, except as required by law, we undertake no obligation to update any forward-looking statements. We also provide non-GAAP information regarding certain of our historical and targeted results to supplement the results provided in accordance with GAAP. This information should not be considered superior to or as a substitute for the comparable GAAP measures. A reconciliation of historical non-GAAP measures can be found in our first quarter earnings release published this morning and in our company overview presentation that was filed on Form 8-K this morning and posted on the Investor Relations section of our website at babcock.com. I will now turn the call over to Kenny.
Kenny Young: Thanks, Sharyn. Well, good morning, everyone, and thanks for joining us today on our first quarter 2023 earnings call. We are pleased to report strong results for the first quarter of 2023, which exceeded our expectations and were highlighted by increases in revenues, bookings and backlog on a year-over-year basis. Our parts and service bookings across all of our segments were the highest in the past 7 years despite continued supply chain challenges. Given our positive start to the year, growing customer demand across all of our segments and visibility for new booking opportunities, we believe we are well positioned for significantly improved full year performance in 2023. The revenues generated within our renewables and environmental business segments showed significant increases of 47% and 13%, respectively, as compared to the first quarter of 2022. This growth was driven by higher volumes across both segments, which helped drive our consolidated revenues and adjusted EBITDA above expectations. More specifically, revenues in the first quarter increased 26% compared to 2022, while our bookings and backlog increased 11% and 15% on a year-over-year basis, respectively. Our strong start to the year also adds to our confidence in achieving our full year 2023 adjusted EBITDA target. And during the first quarter, we generated adjusted EBITDA of $14.2 million, which was above our internal projections and compares to $12.5 million in the first quarter of 2022. As always, I want to express my thanks and gratitude to our employees for their continued dedication to achieving the highest operational performance for their high focus on safety across our project and manufacturing sites and to thank them for driving innovation and advancing the world’s transition towards sustainable and secure energy, which is central to B&W’s mission. Notably, the performance of our parts and services business across all of our segments 2was particularly strong in the quarter. Combined parts and service bookings for our Thermal, Renewable and Environmental segments were $114 million, which is the strongest quarter for parts and services we’ve had since 2016. This was led by $67 million in bookings by our Thermal segment, which had been – which has seen increased demand as customers around the world look to improve performance and extend the useful life of their facilities. B&W’s Renewable and Environmental segments also booked $40 million and $7 million in parts and services orders, respectively, as well. In total, we are recognizing a significant increase in customer demand stemming from the need for long-term energy security and clean technology solutions. Looking back at the quarter, we were ecstatic with the progress our clean energy solutions have made, which have been bolstered by new environmental and renewable contracts in the first quarter of 2023, totaling $123 million. These projects not only demonstrate the increasing momentum in our customer adoption of our innovative technologies, but also the expanding interest in our expertise in solar projects. Throughout the first quarter, we announced 4 environmental and 2 renewable contracts to supply various technologies and services for carbon capture, waste to energy and solar installation projects. This includes our collaboration with Phillips 66 and which we will provide engineering and design services, equipment and construction support for carbon capture project in the U.K. This project aims to reduce carbon emissions by capturing and storing carbon dioxide emissions from a refinery. As a company committed to promoting sustainability, we are proud to be a part of this critical effort to reduce carbon emissions and support the energy transition to a low-carbon future. Our progress in the U.K. also includes a contract to provide engineering and advanced technology for our waste-to-energy plant. Our innovative combustion system will help convert waste into clean energy, further promoting sustainable practices. Additionally, B&W has also secured contracts to provide highly efficient cooling systems for a few U.K. waste-to-energy plants as well. These cooling systems will help optimize the performance of the plants, ensuring they are able to operate efficiently and sustainably. Transitioning to our solar business, we were awarded contracts worth over $15 million by Summit Ridge Energy or SRE to construct 5 community solar power installation projects in Illinois. The projects scheduled to be completed in 2023 will total approximately 15 megawatts. B&W will manage subcontractors, site coordination and supervision and electrical tie-ins to the grid. This is the second set of contracts awarded by – to B&W SRE, which is one of the leading community solar companies in the United States. The growing market for community solar projects in the U.S. has been attributed to the high demand for affordable clean energy and state and federal incentives for renewable energy, including for solar power. We are excited about the solar opportunities and continue to see that we continue to see emerge over the coming quarters, especially with regards to community solar and small utility projects. Looking forward, we remain committed to further supporting sustainable energy projects that make a positive impact on the world. These recent award wins further strengthen our position as a leading provider of energy solutions and we look ahead to exploring new opportunities to promote a cleaner, more sustainable future. We also are pleased with the significant traction our Bright Lube technology has received to date. Most notably, we received announced – we recently announced a commercial project with Black Hills Energy in which B&W’s Bright loop hydrogen generation technology was selected to produce hydrogen gas from coal and capture carbon dioxide emissions. Utilizing our technology, clean energy can be produced using a variety of fuels with complete CO2 retention, enhancing energy security and creating local clean energy jobs in the region. This project not only highlights B&W’s transformational technology, but also demonstrates utility market interest in our clean power production and carbon capture capabilities. We look forward to scaling this product offering and working in tandem with our customers to provide the solutions they need to enhance energy independence and deliver efficient energy to their customers while also combating climate change. I’ll now turn the call over to Lou to discuss the financial details for first quarter of 2023. Lou?
Lou Salamone: Thanks, Kenny. I’m really pleased to review our first quarter results and further details of which can be found in the 10-K - in our 10-Q, which has been filed with the SEC. Our first quarter consolidated revenues were $257.2 million, which is a 26% improvement compared to the first quarter of 2022. This is primarily attributable to higher volumes in our Renewables segment due to B&W Renewable parts and services and our project-based business as well as higher overall volume in our Environmental segment and increased thermal segment volume and a higher level of construction activity. Net operating income in the first quarter was – of 2023 was $1.4 million compared to an operating loss of $6.8 million in the first quarter of 2022. Our adjusted EBITDA was $14.2 million as compared to $12.5 million in the first quarter of 2022, while bookings in the first quarter of 2023 were $206 million, an 11% increase compared to the first quarter bookings in 2022. Our ending backlog was $663 million, which was over a 15% increase compared to our backlog at the end of the first quarter of 2022. Our loss per share in the first quarter was $0.18 as compared to a loss per share of $0.14 in the first quarter of 2022. I’ll now turn over to the first quarter segment results. Within our Babcock & Wilcox Renewables segment, revenues were $100.1 million for the first quarter of 2023, which is a 47% increase compared to the $68 million in the first quarter of 2022. This increase in revenue is primarily due to the higher volume of new build projects and the increase in revenues associated with our renewable parts and services business. The adjusted EBITDA in the quarter for this segment was $4.9 million compared to $2 million in the first quarter of 2022, and this was primarily due to the higher volume as described above, offset somewhat by increases in expenses to support the growth of this business. The higher revenue levels also increased share overhead and SG&A allocations to the segment, which are based on revenue. Within the Bobcat and Wilcox Environ-mental segment, revenues were $39.4 million in the first quarter of 2023, which is a 13% increase compared to the $34.9 million in the first quarter of 2022. This increase is primarily driven again by higher overall volume of dry cooling technology projects across the Environmental segment. Our adjusted EBITDA for the segment was $1.9 million in the quarter as compared to $1.4 million in the same quarter last year, again, primarily driven by the higher revenue volume described above and offset by higher levels of shared overhead and SG&A that’s allocated to this segment. Turning to our Babcock & Wilcox Thermal segment revenues were $119.2 million in the first quarter of 2023, and this is a 17% increase compared to the $102 million in the first quarter of 2022. Again, this is primarily attributable to higher levels of volume on our construction projects business and the inclusion of Optimus Industries. Adjusted EBITDA in the first quarter of 2023 was $13.7 million, which is a decrease of 3% compared to $14.2 million in the first quarter, primarily attributable to higher expenses that we incurred which are related to the growth of this business. I’ll now turn to our balance sheet, cash flow and liquidity. Our total debt at March 31, 2023, was $351.7 million, and the company had a cash, cash equivalents and restricted cash balance of $91.1 million. Finally, based on our strong bookings and backlog in the first quarter of 2023, we are reiterating our full year 2023 target of between $100 million and $120 million in adjusted EBITDA. I’ll now turn the call back over to Kenny.
Kenny Young: Thanks. Well, in closing, I would like to emphasize the continued progress in growth that Babcock & Wilcox has achieved over the past several years. We have taken proactive steps to improve our operations and qualify additional suppliers, which has reinforced our own supply chain and positions as well to navigate challenging market conditions compared to our competitors. Despite the ongoing market challenges we face, we have strong and growing customer demand across all of our segments, expanding our bookings and backlog while maintaining the highest operational and project performance across our global operations, leveraging a strong balance sheet and our expanded pipeline of more than $8 billion in identified global opportunities, we are excited about our growth prospects and diversification initiatives within our renewable and environmental and thermal business segments. Looking ahead to the rest of 2023, we are excited to continue enhancing our Climate Bright decarbonization platform and executing our Bright Luke commercialization strategy with the aim of deploying our transformative technology at scale. We are at the forefront of a global effort to combat climate change and are excited about the growing industry tailwinds that support our clean energy initiatives. As the year unfolds, we anticipate announcing meaningful projects that align with the seasonality of the business and revenue ramp that is back half weighted for the full year. Finally, we would like to thank our employees again and our customers for their continued efforts and dedication to the company, which ultimately has driven our success as an organization. Together, we’re focused on driving innovation, supporting the global transition to sustainable energy solutions and delivering strong profitable growth for our shareholders. I will now turn the call back over to Nadia who will assist in taking your questions. Nadia?
Operator: Thank you. Our first question today goes to Aaron Spychalla, Craig-Hallum Capital Group. Aaron, please go ahead your line is open.
Aaron Spychalla: Good morning, Kenny. Thanks for taking the questions. First for me...
Kenny Young: Good morning.
Aaron Spychalla: Yes, you bet. First, maybe on Black Hills, can you just kind of talk a little bit more about kind of that project, what it looks like, some of the next steps and timeline, anything on contribution? And then just you talked about scaling up. Can you just talk about confidence in the supply chain and kind of manufacturing as that progresses?
Kenny Young: Yes. So, the Black Hills project, the initial phase will be, I guess, as we describe BLH 15 on that project. The first phase of that, our approach there will be to fire the project up on natural gas, to creating hydrogen for natural gas- on the initial aspect and then we’ll introduce the coal. So, the plan in that project specifically is the state of Wyoming wants to utilize PBR or coal that in the coal is available actually very near the plant. Coal will be used in the Bright lube system to produce hydrogen in this particular case. The hydrogen will then be entered into the combined cycle plant or the turbine that’s the turbine that blood cells, we’ll be putting in is – will support up to 30% hydrogen and 70% natural gas involved in that. So – but the intent is obviously using the coal to create the hydrogen. And then in that particular case, we’ll either sequester the CO2 although we’re having some conversations about potentially some other beneficial use of the CO2. But either way, it will be retained captured and not admitted into the atmosphere in the long run. So, we’re excited about that – all of those elements in that moving it into an early adopter in the utility sector, which we think is very exciting for us as well on that. In the long run, Black Hills will need several hundred tons of hydrogen per day to feed the turbine to drive baseload generation and they do have the capacity there from a feedstock standpoint to support that. So that project would move into the next phase of it, which is a natural progression at that point in time. That’s on one. On the supply chain sustainability aspect, if you’re specifically talking about Bright loop or just in general, sorry.
Aaron Spychalla: Just really on the Bright loop as we think about how that ramps over the next couple of years?
Kenny Young: Yes. So, the - we’ll begin ramping up the abilities to develop the particle. We have limited aspects of capacity right now, but that will be developed out to build up the particle aspects. The fabrication side of the modules, the reactors is the – is one long in the tent, so to speak. I would say some of the others are in and around some of the air compression and other components and pieces that we need in that technology out there. So those are running 9 to 12 months typically in lead times. So, we – those are the areas that we – when we look at supply chain and Bright lube in that regard, when we plan out the timing of the projects, we take all of that into consideration overall so that we’re not too far over skis as it relates to the abilities to get the fabrication and the steel and the other components into the plant and the site. But so that – we know that, we anticipate that, and that’s just normal course. The good news is I think there’s - short of the particle here, there’s not a lot of new tech that we talked about before that’s going into this. So, when you think about the reactor, B&W have been involved in reactors for many years, the pressurization, the heating aspect of that inside the reactors, BMW has been involved in that for many years. The other construct on all of the other feed handling systems, fuel handling systems, obviously, coal in this case, the ability is to pull [indiscernible] coal and everything that needs to get done. All of that is very common core of B&W. So, the newer piece here is really around the particle aspect on it, and we’re excited to get that going as well, too.
Aaron Spychalla: Right. Good to hear. And then maybe as a follow-up, you guys touched on it a little bit, but just can you give a little more color on the solar business and what that business looks like this year versus maybe 2022, some of the initiatives in the pipeline. Are you starting to see the impact from the IRA and just anything on module availability?
Kenny Young: Yes. So, so far, module availability is fairly good, actually. So we typically wouldn’t get involved in a project if the owner operators didn’t have access to the modules that’s kind of a red flag, if you will. But module availability seems to be very strong right now in the marketplace with all of the work and effort. The number of projects, both on utility and – I’m sorry, both our community seller and small-scale utility are very significant in the marketplace in the U.S. And a lot of that is being driven by the IRA credits. There’s – in Illinois, there are some state incentives that exist as well to support these community solar projects. So, you see a number more and more, more of these. And a lot of developers are out raising a tremendous amount of capital too as well, some of the companies we talk to – to position themselves and building out these solar projects that take place. So, the demand is clearly there. For us, obviously, we’re not entering kind of a growth phase of that from a BMW perspective. And we’re – as we continue to grow that particular business, the advent of us self-performing more and more of that work will help improve the margins in the long run. The other aspect is we’re hiring a number of different resources to come in from materials estimation, project management capabilities to work not only in solar but in our renewable energy sector. So, we’re in a very much in a hiring mode at this point in time in that marketplace. But as we bring on new resources and individuals, we see nothing but more opportunities start to grow on the solar side. So, in the U.S. alone, I don’t know that I’d have to pull up the staff I’ve got them somewhere in the marketplace. But there are billions of dollars of opportunities of solar being built in the U.S. and the module are all available to support that kind of size of a marketplace. So, it’s very significant right now.
Aaron Spychalla: Great. Thanks for taking the questions. I will turn it over.
Operator: Thank you. The next question goes to Rob Brown of Lake Street Capital Markets. Rob, please go ahead your line is open.
Rob Brown: Good morning. Just wanted to follow up on the Black Hills project. What’s sort of the revenue opportunity in Phase I and, I guess, Phase 2 for that project? And when sort of is the timeline for that to be awarded?
Kenny Young: Yes. So, Phase 1 will be small on that project. We put out exact numbers yet, but it will be small under Phase 1. The important piece is just – is getting a commercial aspect of getting - obviously, using the local feedstock and moving that forward. In terms of moving it into the larger units out there, which would be 100, 200 kind of approach in the marketplace mean just a rough range, broad range on that would be anywhere from $250 million, $300 million to $400 million, $500 million on a unit, depending on a number of different variables that will exist on that. Obviously, that would – it’s still TBD on that size of a unit, those locations. But if you thought about them in terms of – if you’re building new technology to support a power plant that’s producing a few hundred million watts of power, it’s roughly in that kind of the similar category as far as size and revenues. And that’s just to give some broad scale thought process on it.
Rob Brown: Okay. Great. That’s very helpful. And then on the kind of parts and services improvement in the business. I know there was some pent-up demand, but could you just sort of give us some color on what’s driving that improvement? And how should that continue, I guess?
Kenny Young: So, there is improvement in increased demand. I mean it’s really unique on – if we divide it into 3 conversations here. On the thermal side, we saw a little bit of a catch-up where people were catching up on parts and services from the past couple of years because we’ve always talked about the fact that the plants are running, that was delayed. We’re- so we’re seeing a little of that. We’re also seeing the fact that a lot of these fossil fuel plants are now gearing up to run a little bit longer than maybe the public announcements were or are as it relates to when those might be shutting down or we have a number of customers that are in Europe, for example, trying to recommission some of those facilities and plants and that will add a little bit to the volume in that particular area. So, you kind of have a twofold on a little bit of catch up. You have a little bit of where these plants have to run longer than they normally had planned for them to do, which is a good thing from us from a parts and services standpoint. And you’re seeing a few of these plants re-emerge in Europe. And we – as we talked about in the past, we keep expanding our international presence in Asia Pac and other markets. So, you see a little bit of a gravitation of more adoption of parts and services coming from Middle East and the Asia Pac region as well, too. So overall, we think we’re – the levels of activity are back to regard or magnitude back o where they were before COVID. At this point in time, we still have those supply chain challenges where things take longer to get in than did before, but it’s now part of the new norm, and we’ve kind of caught up with that cycle- within the thermal segment. The other part of the growth in the parts and services within the company, we’ve seen an increase because we’ve actually been putting in cooling towers over the past couple of years. And so, a lot of that embedded base customers out there now are getting past the warranty period. And so, we’re starting to see parts and services come from our environmental business in that regard. The other piece is we - obviously, with intent, but invested in a small company in Europe that was a strong parts and services company and waste energy. And we’ve seen that expand [Indiscernible] within that base. So, all of those are combinations and elements on the parts and services aspects, and we’re excited about where it is. But overall, we see – we don’t see anything out to this said, hey, this is a onetime clip, and we go back down. There’s we have to deal with quarter-by-quarter, obviously, on all these things, but the outlook is pretty strong.
Rob Brown: Thank you. I will turn it over.
Operator: Thank you The next question goes to Alex Rygiel, B. Riley. Alex, please go ahead your line is open.
Alex Rygiel: A couple of quick ones here. First, can you comment on your confidence in guidance and maybe talk about the variables that would lead to either the low end or the high end of that EBITDA guidance for 2023?
Kenny Young: Sure. Well, the low end is always typically around 2 things. One is if there are customer delays or delays, on projects or other things that were unanticipated are beyond our control. So on the lower – and/or, I would say the other aspect that is the start date of a project. So, if the customer was supposed to start a project, let’s say, in July, but it flips to the start date now in, let’s say, September or October, then we missed the quarter on that revenue, even going from the last month quarters the next first month of the new quarter, we missed a quarter revenue on that. So that’s always the challenging piece for us. And so, if there is lower-end aspects it typically comes from those kinds of pieces and components – the upside is also kind of the opposite of that. If the project started a little earlier than we anticipated in our plan cycle, and there’s upside opportunities there. If the energy security thing keeps going on the clip that’s going and we’re actually driving more parts of services from the thermal aspect that could give upside to because that’s obviously high-margin revenues for us as well in the long run. And then it’s just new bookings and getting those in and executing on those across the board. Most of the new booking upside will be in renewables. So, either coming from seller or biomass or waste-to-energy technology. That would be the bigger driver of the upside. – aspects, and they’re clearly out there. But we have to get them booked and obviously executed start doing the work this year in order to gain that particular piece. But the they’re all out there on that regard. It’s just we wouldn’t, at this point, run off Q1 change anything as it relates to our target guidance we put out, but there are those upsides that exist.
Alex Rygiel: And then any update on the Fidelis project?
Kenny Young: Yes. Fidelis, they’re working through their final funding on the power plant for the fuel aspect. Hopefully, that gets announced relatively soon, and we’ll begin working towards the other pieces of that, both the biomass plant that we talked about and also for the BrightLoop facility and that location. So, there are a lot of discussions on that. There’s - we’re back and forth and looking at their – as they evolve their power needs a little bit. We look at adjusting certain things here and there as it relates to the 2 projects. But overall, the change of events is waiting for them to get their final funding completed and then things will then start to move forward from there. So, I don’t – I hate to put a timeline out publicly on that, but do anticipate that they are able to get stuff done here in the next 1 to 2 months, but we’ll see where – how that shakes out .
Alex Rygiel: It’s very helpful. Nice quarter thank you.
Operator: The next question goes to Brent Thielman of D.A. Davidson. Brent?
Brent Thielman: Thanks, good morning. I guess, Kenny or Lou, you all made several references to the parts and services backlog and booking strength. I guess I just wanted to take a step back, maybe you could just share some views on sort of why this is such a relevant metric for us to be focused on. What does it say about your customers’ position right now, maybe how it informs your view of guidance for the year from here?
Lou Salamone: Well, I think the number one aspect on parts and services for us is that, overall, it’s a very high-margin part, right? New project builds are, by definition, in the marketplace, usually a little lower in margins. The parts and services that come following those are obviously – yes, following that are much higher margin. I think we’ve talked publicly our parts and services business is between 35% and 40% gross margins overall in the company. So, if we can see improvements there, on that above and beyond our plans, then that helps to accelerate and pull in margin in the outer months once those parts and services are shipped and built. So, the importance of it is really around that, right? That the healthy parts and services platform and its very strong cash flows for us due to the high margin nature of it. And more or less, in which we talked about in the past, normally, it’s a short book and bill. It’s roughly about 60 days now-ish in the marketplace and where it used to be 30%, but with the new supply chain that’s extended out there a little bit. But that’s kind of the way that we think about it in terms of that. I think the other just from a company strategy perspective, the important piece here is that by expanding parts and services beyond thermal and renewable and environmental is very much a positive for us because that was part of our strategic plan was to increase our presence in parts and services in those groups, which again seem kind of high margins and margin activity, but we needed to broaden our presence. So, we’re seeing the benefit of that because it’s been a very strong quarter for our renewable sector, in particular, on parts and services.
Brent Thielman: Okay. And then all 3 business segments, it looks like they saw a pretty good improvement in volume, I guess, by the commentary, where I think you’re getting the benefits of better operating leverage here. But I guess I just wanted to better understand how the supply chain issues or anything else may be holding your margins back, whether it’s comments by segment, Kenny just the company overall?
Kenny Young: Yes. No, it’s a give and take each quarter. There’s – we – in some cases, we’re allowed to pass along the cost increases, so the supply chain aspect and overall goes up in price. And obviously, we’re doing thousands of objects here. So, it’s hard to – I don’t have the exact percent, but when new parts and services do go up, for the most part, in most cases, we’re allowed to pass that increase under our customer. There’s occasionally a project or 2 where we have to absorb it for an initial period of time. But then in a quarter or 2 later, we’re able to increase price at that point in time, right? So, there’s an ebb and flow as it relates to that in our parts business and depending on who the customers and who the parts are. But if you thought about it in terms of – at this point, I think our supply chain pricing is fairly stable. There’s a few things still going up. We’ve seen some stuff come down a little bit. on that. But the bigger impact that we still probably overall in the business then, we adjusted our targets accordingly. It’s just the length of getting certain items in. It’s interesting, if you go back to the solar side, talk about that, when you think about a solar site, obviously, one of the first things we do is qualify whether or not the customer has got the panels on hand because if they don’t, that’s a long lead time item. And secondly, if they have transformers on the supply aspect or who’s responsible for the transformer side of it because those are again very much a long lead time item – out in the marketplace. So, there’s extra caveats and things that we go through when we try to qualify opportunities to make sure that, that’s all available. But those are – the longer lead time items in the parts services aspect are, we’ve kind of baked in that time frame and our targets. But that improves, that’s great. We haven’t seen it, I would say, over the past 6 months, I guess, at this point, something like that. We haven’t seen it get worse. And I think that’s an important consideration. So, it’s almost like we’re operating kind of in a new norm and that’s what it feels like anyway.
Operator: Thank you. We have no further questions. I will now hand back to Sharyn for any closing comments.
Sharyn Brooks: Thank you for joining us. That concludes our conference call. A replay will be available for a limited time on our website today.
Operator: Thank you. This now concludes today’s call. Thank you so much for joining. You may now disconnect your lines.+